Operator: Greetings. Welcome to Century Communities' Fourth Quarter and Full Year 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Tyler Langton, Senior Vice President of Investor Relations for Century Communities. Thank you. You may begin.
Tyler Langton: Good afternoon. Thank you for joining us today for Century Communities earnings conference call for the fourth quarter and full year 2024. Before the call begins, I would like to remind everyone that certain statements made during this call may constitute forward-looking statements. These statements are based on management's current expectations and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. Certain of these risks and uncertainties can be found under the heading Risk Factors in the company's latest 10-K as supplemented by our latest 10-Q and other SEC filings. We undertake no duty to update our forward-looking statements. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The company's presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Hosting the call today are Dale Francescon, Executive Chairman; Rob Francescon, Chief Executive Officer and President; and Scott Dixon, Chief Financial Officer. Following today's prepared remarks, we will open up the line for questions. With that, I'll turn the call over to Dale. With that, I'll turn the call over to Dale.
Dale Francescon: Thank you, Tyler and good afternoon everyone. We are pleased with our fourth quarter and full year 2024 results and believe that Century is well-positioned to drive continued growth and improved returns in 2025 and beyond. Our full year 2024 deliveries increased 15% year-over-year to a record 11,007 homes, and our community count increased 28% year-over-year to a company record 322 communities. Fourth quarter deliveries of 3,198 homes and home sales revenues of $1.2 billion were both quarterly records. Even with the volatility in mortgage rates that we saw this year and our continued use of elevated levels of incentives to drive sales, we increased our full year 2024 adjusted gross margin by 80 basis points to 23.3%. We also reduced our SG&A as a percentage of home sales revenues by 40 basis points through leveraging our fixed costs and expect this metric to see further year-over-year improvement in 2025. For the full year, our adjusted net income increased by 36% year-over-year with our fourth quarter adjusted net income up 18%. While we are clearly focused on growth, both organic and through the two acquisitions we completed and fully integrated in 2024, we also continue to return capital to our shareholders by repurchasing over 3% of our shares that were outstanding at the beginning of 2024 and increasing our quarterly dividend by 13%. Our fourth quarter net new contracts of 2,467 increased by 5% year-over-year and eased by 4% sequentially, which compares to an average sequential decline in the fourth quarter of 6% from 2019 through 2023. For the full year, our net new contracts increased 21% year-over-year to 10,676 homes. Within the quarter, our orders were the highest in November, potentially benefiting from the decline in mortgage rates over much of that month and at roughly equal levels in both October and December. So far through January, our order activity has been in line with typical seasonal pace with improvement over the course of the month, but below the very strong rate we saw in January 2024. Our average sales price was approximately $390,000 for both the fourth quarter and full year 2024 and remains among the lowest of the publicly-traded homebuilders. While housing affordability has been impacted by the recent mortgage rate volatility, we firmly believe that there is strong underlying demand for new homes, underpinned by solid demographic trends. Additionally, we continue to take steps to address the impacts that elevated mortgage rates are having on affordability and believe our actions are helping us maintain an appropriate sales pace in the current environment. We built nearly 100% of our homes on a spec basis in the fourth quarter and for the full year. This business model, along with our captive mortgage subsidiary, allows us to reduce costs, maintain an appropriate supply of quick move-in homes that entry-level buyers are seeking and provide our homebuyers with certainty of financing at below market interest rates through buydowns and other rate incentives. In the fourth quarter, 92% of our deliveries were priced below FHA limits and over 60% of the mortgages closed by our captive mortgage company, Inspire Home Loans were for FHA, USDA, or VA loans that typically carry interest rates and down payment requirements that are below those of conventional mortgages and help make homes more affordable. The FICO scores of our homebuyers remain healthy and consistent with levels from the first three quarters of 2024 and full year 2023. Before turning the call over to Rob, I want to briefly discuss the recent steps our Board of Directors took as part of our ongoing succession planning process. Effective January 1st, I have moved to the Executive Chairman role from Co-Chief Executive Officer, while Rob has become Century's sole Chief Executive Officer. As part of this transition, we do not anticipate any immediate changes to either of our day-to-day responsibilities, but it is my plan to devote a higher percentage of time to corporate and strategic initiatives. In closing, I want to thank all of our team members for their hard work and dedication that drove significant improvements in our business in 2024 and that position Century for continued success in 2025 and beyond. I'll now turn the call over to Rob to discuss our operations and land position in more detail.
Rob Francescon: Thank you, Dale and good afternoon everyone. Before turning to our operations, I wanted to add on to Dale's remarks about our succession planning here at Century. We are incredibly proud of both the national platform that we have built at Century over the past 10-plus years since going public as well as the team that we have assembled to lead it. We view succession planning at both the corporate level and throughout our regions and divisions as an ongoing process to ensure that we always have a deep bench of leaders with the skills and experience needed to drive our future success. For the full year 2024, we started 11,789 homes, a 20% year-over-year increase, consistent with our 21% year-over-year increase in net orders. In the fourth quarter, we managed our starts down to 1,965 homes, given the number of homes started earlier in the year to maintain an appropriate level of spec home inventory. We continue to be encouraged by the growth in our community count. We ended the fourth quarter with a community count of 322, the highest level in our company's history and up 28% on a year-over-year basis and 6% sequentially. We also continue to believe that our geographically balanced land portfolio that stretches across 17 states and over 45 markets provides us with greater opportunities for growth across our national footprint and mitigates risk from regional downturns. As an example, while there has been some concern recently about rising inventories in Florida and Texas, these two regions combined only accounted for 31% of our full year 2024 deliveries. While it is still early and also recognizing the 28% growth in our community count in 2024, we currently expect our year-end 2025 community count to further increase in the mid to high single-digit percentage range, which will support our plans to grow our deliveries annually by 10% or more over the next couple of years. Turning to costs. We had continued success in controlling our costs in the fourth quarter with our direct construction costs on the homes we started roughly flat on a sequential basis. For the full year 2024, our direct construction costs declined by 2% on a year-over-year basis. Our finished lot costs in the fourth quarter increased by roughly 2% on a sequential basis. During the fourth quarter, our cycle-times modestly improved on a sequential basis and are averaging approximately four months. As expected, our incentives on closed homes increased in the fourth quarter to roughly 800 basis points, up from approximately 700 basis points in the third quarter. As we discussed on our third quarter earnings call, our incentives on new orders in the third quarter increased as mortgage rates moved higher and the higher incentives on these sales flowed through to our deliveries in the fourth quarter. Our incentives on new orders in the fourth quarter increased to approximately 900 basis points as we look to maintain our sales pace as mortgage rates remained elevated in the seasonally slower months of the fourth quarter. We expect mortgage rates and their impact on our incentive levels to be the largest driver of any changes to our gross margins in the near-term, given our success in controlling direct construction and finished lot costs. Turning to land. We ended the fourth quarter with over 80,000 owned and controlled lots. Century Communities total lot count increased by 20% versus the prior year period and accounted for 25% of our total lot count. As a reminder, Century Complete only acquires finished lots and the growth in its lot count in 2024 demonstrates the team's continued success in sourcing capital-efficient finished lots in attractive locations throughout the Southeast, Florida, Midwest, and Arizona. Additionally, at the end of the fourth quarter, our consolidated controlled lots accounted for 56% of our total lot count. While Scott will provide more details about our guidance for 2025 in his remarks, I wanted to briefly talk about our growth outlook for 2025 and beyond. We expect our full year 2025 deliveries to increase by approximately 10% on a year-over-year basis at the midpoint of our guidance and barring any changes to the homebuilding environment, have the ability to grow our deliveries at least another 10% in 2026 as well. This growth in 2025 is based on increases in our lot count and community count and does not assume any meaningful changes from our full year 2024 absorption pace of 3.2 times or current mortgage rates. Additionally, as we have discussed in the past, we expect this delivery growth to come from increasing our share primarily within our existing markets and to benefit margins and returns as we leverage the investments we have made at both the corporate level and throughout our markets at the local level. As Dale mentioned, we achieved a number of records in 2024, including community count, deliveries, and book value per share and are excited by the potential we have to set new records in the years ahead. I'll now turn the call over to Scott to discuss our financial results in more detail.
Scott Dixon: Thank you, Rob. In the fourth quarter of 2024, pre-tax income was $135.2 million and net income was $102.7 million or $3.20 per diluted share, a 13% year-over-year increase. Adjusted net income was $112 million or $3.49 per diluted share, an 18% year-over-year increase. EBITDA for the quarter was $160.2 million and adjusted EBITDA was $172.6 million, respective increases of 10% and 17% over year ago levels. Home sales revenue for the fourth quarter were $1.2 billion, a quarterly record for the company and up 5% versus the prior year quarter on both higher deliveries and average sales price. Our fourth quarter average sales price was $389,800, increased by 4% on a year-over-year basis. Our deliveries of 3,198 homes in the fourth quarter were a quarterly record for the company, and our full year 2024 deliveries increased 15% on a year-over-year basis to 11007 homes, also a company record. For the year, we saw growth across all our regions with the West, Texas, and Southeast, all posting growth rates of over 20%. For the first quarter 2025, we expect our deliveries to decline on a sequential basis due to typical seasonality and be similar to first quarter 2024 levels. As a reminder, the first quarter typically represents the low point for our deliveries during the year with the fourth quarter being the strongest. Starting in the second quarter 2025, we expect our deliveries to increase on a sequential basis over the remaining quarters of the year with each quarter up on a year-over-year basis as well. At quarter end, our backlog of sold homes was 850 units valued at $351.2 million with an average price of $413,100. While the average price of our fourth quarter backlog was above the average sales price for our fourth quarter deliveries, this difference is largely due to mix, including the percentage of Century Complete homes. In the fourth quarter, adjusted homebuilding gross margin percentage was 22.9% compared to 23.6% in the prior quarter. The sequential change is primarily driven by a higher level of incentives on closed homes. Homebuilding gross margin was 20.6% versus 21.7% in the prior quarter. Additionally, purchase price accounting reduced our fourth quarter 2024 gross margin by 30 basis points, which was in line with the reduction in the third quarter. We expect purchase price accounting to have a similar impact on our homebuilding gross margins in the first half of 2025. For the first quarter 2025, we expect our homebuilding gross margin to ease on a sequential basis. Both our direct construction and finished lot costs should be roughly flat quarter-over-quarter as we continue to successfully manage our costs. However, as Rob detailed in his remarks, our incentives on orders in the fourth quarter 2024 were approximately 100 basis points higher than our incentives on deliveries as we focused on maintaining an appropriate sales pace in the seasonally slower fourth quarter. Additionally, our first quarter homebuilding operating margin should see some impact from reduced operating leverage in the quarter that typically represents the low point for our deliveries. SG&A as a percent of home sales revenue was 11.5% in the fourth quarter and 12% for the full year 2024. For 2025, we expect our SG&A as a percent of home sales revenues to decline on a year-over-year basis as we continue to leverage the investments we have made both at the corporate level and in our divisions that should support the delivery growth we expect over the next couple of years. Revenues from financial services were $26.2 million in the fourth quarter, and the business contributed $7.9 million in pre-tax income. Other income in the quarter was $13.3 million, with this income predominantly driven by the sale of a project within our Century Living business. As a reminder, Century Living is engaged in the development, construction and management of multifamily rental properties. Our tax rate was 24% in the fourth quarter and 24.1% for the full year 2024. We expect our full year tax rate for 2025 to be in the range of 25% to 26%, with the increase primarily driven by a reduced number of homes expected to qualify for 45L credits. Our fourth quarter net homebuilding debt to net capital ratio improved to 27.4% compared to the third quarter 2024 levels of 32.1%. Our homebuilding debt-to-capital ratio also decreased to 30.3% at quarter end compared to the third quarter levels of 35.8%. During the quarter, we maintained our quarterly cash dividend of $0.26 per share and repurchased approximately 400,000 shares of our common stock for $30.7 million. For the full year 2024, we paid cash dividends totaling $1.04 per share and repurchased over 1 million shares of our common stock or over 3% of our shares that were outstanding at the beginning of the year for $83.8 million. Through our dividend and share repurchases, we returned over $115 million to our shareholders in 2024. We grew our book value per share to a record $84.65, a 13% year-over-year increase and ended the quarter with $2.6 billion in stockholders' equity and $918 million of liquidity. During the fourth quarter, we entered into a new credit agreement, which increased the capacity of our senior unsecured credit facility to $900 million, up from $800 million and extended the maturity to November 2028 from April of 2026. Additionally, we have no senior debt maturities until June of 2027, providing us ample flexibility with our leverage management. Now, turning to guidance. Given the growth in our lot count and community count in 2024, we expect our full year 2025 deliveries to be in the range of 11,700 to 12,400 homes and our home sales revenue to be in the range of $4.5 billion to $4.8 billion. In closing, we are excited by our outlook for 2025. We expect to grow our deliveries by approximately 10% year-over-year at the midpoint of our guidance. Additionally, as Rob mentioned, we expect our delivery growth to come from increasing our share primarily within our existing markets and to positively affect margins and returns as we leverage the investments we have made at both the corporate level and throughout our markets at the local level. While affordability for new homes has been impacted by the recent mortgage rate volatility, we firmly believe that there is strong underlying demand for affordable new homes. With that, I'll open the line for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question today will come from Carl Reichardt with BTIG. Please go ahead.
Carl Reichardt: Thanks. Hey guys, nice to talk to you. Thank you for taking my questions.
Dale Francescon: Hey Carl.
Rob Francescon: Hey Carl.
Carl Reichardt: Hey. Just to start with, just on -- if we look at the business between communities and complete, can you talk about perhaps any differences in your traffic levels or the incentives you need to offer between those two product types, if there's any significant difference? And how do you expect that mix to look in 2025 in terms of delivery volume?
Scott Dixon: Yes, Carl, great question. When we step back and look at the differences between the brands, I don't know that we're seeing significantly different levels of incentives. Maybe slightly more on the mortgage financing side within Century complete as it compared to our core Century brand. But we're really not significant. In terms of mix of how it's coming through our P&L and operations going forward, we're really trying to grow both of those brands. We certainly see opportunities in all of our markets from a lot position standpoint, I think you can see that in our current owned and under control bots. So, we'd anticipate both brands really to grow in no significant differences in mix that we're anticipating rolling through 2025's P&L.
Carl Reichardt: Okay. Thanks. And then could you tell me if you have it, what percentage of your homes that you both sold and closed this particular quarter? And as you go next year, whether or not you're expecting -- I'd assume you're expecting that percentage to increase over time as well, but I'd be curious as to what that number was? Thanks Scott.
Scott Dixon: Yes, absolutely. For Q4, the number was slightly above 60% that were sold and closed within the quarter. Since we have been on really the 100% spec model for quite some period of time, we've seen that number in the high 50s to even in a couple of quarters in the high 60s. We would anticipate really no significant changes going forward given our cycle-times at this point have really stabilized and we've been pretty consistent with our spec model over the last year or two.
Carl Reichardt: Appreciate it. Thanks. I'll get back in queue.
Operator: [Operator Instructions] And your next question today will come from Jay McCanless with Wedbush. Please go ahead.
Jay McCanless: Hey, good afternoon everyone. First question I had, could you talk about what incentive levels you guys are putting on the in the current quarter?
Rob Francescon: Right now, it's consistent with what we were seeing in Q4, which is around 900 basis points.
Jay McCanless: Okay. And then I think you answered this in the prior comments, but I just want to double check it. In terms of that growth of 10% roughly in unit volumes, you guys are still thinking about the same level of sales absorption that you saw in 2024 is how you're thinking about for 2025?
Rob Francescon: Yes. So, that's basically 3.2 times roughly. And so we're looking at that being stagnant. So, it's really from community count.
Jay McCanless: And then I guess I like the fact that you guys have said you're going to try and grow inside the footprint, but you have done a couple of acquisitions this year, maybe expanding your footprint a little bit. What are you seeing on the M&A front? Are there potential to do more deals? And what are you hearing on that front in terms of possibilities to expand the business?
Rob Francescon: Sure. Well, so the two acquisitions we did in 2024 were both within the footprint, one in Nashville, one in Houston, and it just got us deeper and larger in both of those markets, which has been our strategy all along. And that's really what we're looking for on a go-forward basis. Regarding 2025 M&A, as we've continue to do M&A through our entire public homebuilding career and to grow the company. We're always looking at deals. We've got, like I'm sure a lot of people, very stringent underwriting criteria. And we'll just see how that goes this year. But we do look at M&A deals. As you saw, we did two last year, TBD on what ends up coming through this year.
Jay McCanless: Okay, great. That’s all I had. Thank you.
Operator: And your next question today will come from Alan Ratner with Zelman & Associates. Please go ahead.
Alan Ratner: Hey guys, good afternoon. Thanks for all the details so far.
Dale Francescon: Hey Alan.
Rob Francescon: Hi Alan.
Alan Ratner: Hi. First question, I'd like to just drill in a little bit to the pace versus price strategy right now, recognizing that your guidance implies pretty flattish absorptions for 2025. Fourth quarter, your absorptions were down 15%. January, it sounds like they were down year-over-year. I know the comps get maybe a little bit easier as the year goes on. But at what point -- and this is with incentives up more recently -- so, at what point of the year, is it in the spring, after the spring? If you're still trending lower on a year-on-year basis for absorptions, do you either get more aggressive on incentives or are there other adjustments that you would consider maybe outright base price adjustments in order to solve for that flat absorption rate? Or is it more balanced between a certain margin target and sales?
Scott Dixon: Yes, Alan, I think what you're seeing is some of the benefits here of the spec model where we've been able to really ensure that we're right-sizing the amount of inventory that we have on the ground for what we see as the current demand and obviously at a community sub-market as well as the division level. And so that's some of the moderation in the starts that you saw come across here during the fourth quarter. I think generally speaking, we're very bullish in terms of the demand that is out there and our ability to provide affordable housing where -- in markets that we continue to see the demand. So, I think we're very bullish on the spring selling season and we'll make those adjustments from a pace perspective as we move through. In terms of levers that we have, really, the cost side, as you're well aware, has been fairly stable throughout this entire year. We have seen some sequential decreases in direct costs throughout the year, which certainly have helped. Our land from a finished lot cost perspective has remained relatively stable. And as we look out next year, we really only see, I'll call it, normal land inflation of 3% to 5% coming through. Some of the other items that we've done are just continuing to moderate on the square footage side. Our overall square footage came down year-over-year this year, about 2%. So, we have some ability to continue to solve for that affordability at the community level. And that's something that we'll obviously continue to do as we get into the spring selling season.
Alan Ratner: Great. I appreciate all the moving pieces there and the comments. Second question, there's been a fair amount of headlines over the last few weeks with some of the ICE [ph] raise and crackdowns and deportation rhetoric out there about what impact, if any, that could have on construction labor. I know many builders pre-election were pretty complacent or, I guess, not expecting there to be a dramatic impact. But I'm just curious, over the last few weeks, whether you've seen any impact to your job sites or have heard any rumblings about any impact that could unfold from this?
Rob Francescon: Well, all this is still early on unfolding. We have not -- to answer your question, we have not seen any impacts to-date. But again, this is early on the unfolding. I mean, we can speculate on how we think that would affect us as well as potentially tariffs. But at this point, we're controlling what we can control. We have not seen anything on the ground or in our cost structure that needs us to react in a certain way. And so, it's just wait and see. But right now, we're not seeing anything that is negative to the business.
Alan Ratner: All right. That’s great to hear. Thanks a lot.
Rob Francescon: Absolutely.
Operator: And your next question today will come from Michael Rehaut with JPMorgan. Please go ahead.
Michael Rehaut: Hi thanks. Good afternoon everyone. I have a couple of kind of fundamental-oriented questions and then a couple of model-oriented questions, if that's okay. Bigger picture, I would love just to get a sense around relative strength across your regions, across your markets. You had mentioned that Florida and Texas account for roughly 30% of your closings or revenue. I just wanted to get a sense if you could kind of rank order where you feel your different markets are perhaps doing better than corporate average, in line, or worse and how those markets are trending currently?
Scott Dixon: Yes. Michael, I'll give some color. Broadly speaking, I think one of the benefits that we've always looked for in terms of the national platform that we have is really one of our primary abilities to provide diversification and we are seeing that. So, generally speaking, the West for us, I think, has been strong from an absorption and demand perspective. Mountain has continued to move upward and we're seeing some underlying fundamentals there that continue to make us excited and optimistic about 2025. As you noted, Texas is a little bit of a smaller piece of our footprint. We obviously have seen some of the rising supply there. When you dig back through those numbers in a little bit more detail, the supply at our price point in terms of months of supply is certainly on the lower range within that market overall and I think that gives us comfort and some optimism going into 2025. And they are both items that long-term that we're very optimistic on. Generally speaking, from a supply standpoint, we're seeing our markets generally in kind of the 2 to 4 or maybe high 4s from a month of supply and we think that's an overall a healthy environment for us to start into 2025 on.
Michael Rehaut: Okay. So, are you saying kind of outside of maybe the Florida and Texas regions, again, a little more granular. Any markets across your footprint stand out more positively or negatively or is it more just kind of more similar than not, I guess?
Scott Dixon: I think within the regions, we're generally seeing some consistent themes. I don't know that I'd necessarily call out any one market within those regions. If I would, Southern California for us, which is Orange County, was certainly a little bit of a stronger market this year from a demand perspective as well as Phoenix, which is in our Mountain. In Southeast, Atlanta continues to be a very strong market for us. And so those are probably the individual markets that I would call out.
Michael Rehaut: Okay. Thanks. Also the -- you kind of laid out your expectation for 10% or better volume growth this year or next. I was wondering as we get through -- as we move through 2025 and even looking at 2026, if the ASP might change at all? Obviously, you guys remain pretty focused on affordability. I think in the past, in 2024, your ASP was up nearly 4%. So, anything that we should expect in terms of that number maybe remaining where it is, maybe even going down a little bit, just further addressing the affordability challenge in the country?
Scott Dixon: Yes. For 2025, to play with the numbers, really the implied guide is effectively flat to slightly down ASP. The reality is that the affordability is the name of the game and so that is what we are focused on every single day here as management. I think that guide incorporates obviously the continued use of incentive levels and primarily on the mortgage incentive side. I think longer term, as we get into 2026 in future periods, I think would tell us that we that we absolutely should continue to see some appreciation coming through on that top line ASP number.
Michael Rehaut: Okay, that's helpful. And then just a couple of modeling questions, if I could, real quick. The $13 million in other income, it was mostly due to a sale of a project. What was the actual contribution to that line? In other words, what would that line have been without that game, would it have been 0 or $1 million or $2 million, plus or minus? Just trying to get the exact number there.
Scott Dixon: Yes. Sure. Absolutely. There's a handful of things going through that other income line here this quarter. The primary driver is the disposal of one of our communities on Century Living, the gain on that was around $20 million. There's a handful of offsets that generally run through that line, including some write-off of feasibility costs, some other expenses that ran through that line item here as well to get to that total of $13 million.
Michael Rehaut: Okay. Thanks. And then just one last one. You highlighted the share repurchase of 1 million shares during the year. You fully diluted share count, though, is roughly unchanged. So, I just want to understand the strategy there. Are we still kind of looking to effectively just offset share creep through equity awards or whatnot or going -- looking forward, are you trying to reduce this account in the past couple of years, it's gone down by roughly $1 million a year. So, this year was more flat?
Dale Francescon: I think we're -- we haven't really changed, and that is we said we're going to make sure that the share count does not creep up. In terms of bringing it down, that's really opportunistic. When we look at, when we purchase shares towards the end other there, there were shares purchased, so you don't see the full benefit of that. But generally, our strategy is the same. I mean we're focused on growth. We're focused on making sure that our share count doesn't increase. And as we have opportunistic -- buying opportunities, then we'll step into the market.
Michael Rehaut: Great. Thanks so much.
Operator: And your next question is a follow-up from Carl Reichardt of BTIG. Please go ahead.
Carl Reichardt: Thanks. So, just to be sure about this. The guide for deliveries for 2025, does not presume any additional acquisitions beyond what Anglia and others will contribute that you've already made, correct?
Scott Dixon: Correct.
Carl Reichardt: Okay. Thanks. I just want to be sure about that. And then, Scott, just to go back to Mike's question on the other income. So, you had inventory impairments of 6.8%. That's where you're putting option walkaways plus any impairments to dirt, right? And then feasibility on early-stage options, those go in the other expense line. Is that how you guys do it?
Scott Dixon: That's correct. Our impairment line item would be that you see on the face financial statements would be anything that is owned in either. Owned and in some sort of stage of development or owned in an active community if it's pre-acquisition cost, it will go through the other.
Carl Reichardt: Okay, great. That’s all I have. Thanks guys. Appreciate it.
Scott Dixon: Thank you. Welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dale for any closing remarks.
Dale Francescon: Thanks, operator. To everyone on the call, thank you for time today and interest in Century Communities. We're very pleased with the strong growth across a range of metrics that we saw in 2024 and are excited by our outlook for 2025 and beyond.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.